Unknown Executive: Thank you, everyone, for joining us today. With me on today's call are Mr. Yang Wu, Founder, Chairman and CEO; and Ms. Nancy Smith, Interim CFO. Mr. Wu will start off with a high-level overview of the quarter before providing some operational updates. Ms. Smith will then discuss our financials in more detail before handing it back to Mr. Wu to wrap up with our second quarter 2024 outlook. Ahead of this call, Microvast issued its first quarter earnings press release, which can be found on the Investor Relations section of the company's website, ir.microvast.com. In addition, we have posted a slide presentation of the company website to go along with management's prepared remarks. As a reminder, please note that statements made during this call are forward-looking and based on current expectations and assumptions. They should not be relied upon as representative of views for subsequent dates, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements due to new information or future events. Actual results may differ materially from expectations due to a variety of risks and uncertainties. For more information on material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. We may also discuss non-GAAP financial measures during this call. These measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metrics in the tables included at the end of our press release. After the conclusion of this call, a webcast replay will be available on the Investor Relations section of the Microvast website. And now, I will turn the call over to Mr. Wu for opening remarks. 
Yang Wu: Thank you. And thank you, everyone, for joining today's call. Please turn to Slide 3 as I cover a few highlights from the first quarter. The business posted record first quarter revenue with 73% growth year-over-year in Q1 2024, delivering revenue of $81.4 million. We achieved this growth while maintaining a gross margin of 21.2%, a 10.9% point improvement year-over-year. This incredible growth comes largely from sales increases in our APAC and EMEA businesses year-over-year. We saw triple-digit percentage growth in both regions, 640% and 184% for APAC and EMEA, respectively. Please join me on Slide 5. The company was successful in expanding its commercial vehicle footprint, with additional customers and the projects in America and Europe alike. We have begun to tap into the Canadian market and are working with American LCV OEM, for ramp-up expected in the second quarter. We closed the first quarter with a backlog of $348.3 million and continue to strive for operational efficiency. The company posted significant improvements to adjusted gross margin at 22.6%, a 9.1 percentage point increase year-over-year. The company posted yet another banner quarter, and we expect continued growth and successes. So, this also came with challenges. In addition to the current market sentiment facing the cleantech industry, we continue to navigate U.S. financing hurdles. Turning to Slide 6. We have some exciting new customers in the United States specialty vehicle market and the European e-trailer market. These customers will utilize Gen 4 packs with our 53.5 amp hour cell technology. While we aren't quite ready to launch the projects publicly, we have made significant progress with the customers on product ramp-up and as a prototype development. Additionally, we started working with German OEM engineers on the prototype fuel cell truck that will debut at IAA 2024. I would now like to turn the call over to Mrs. Smith to discuss our financials in more details. 
Nancy Smith: Thank you, Mr. Wu, and thank you, everyone, for joining in. I'll spend the next few minutes discussing our quarter 1 2024 financial results. Please turn to Slide 8, and I will summarize the main line items from our Q1 P&L. We booked a record first quarter with quarter 1 revenue of $81.4 million, an increase of 73% from $47 million in quarter 1 2023. This growth was driven primarily by strong sales demand at both our APAC and EMEA markets for commercial vehicles as OEMs continue to adopt our technology. Our gross margin improved to 21.2% in quarter 1 2024 compared to 10.3% in quarter 1 2023. After adjusting for non-cash settled share-based compensation expense in our cost of sales, adjusted gross margin increased to 22.6% in quarter 1 2024 compared to 13.5% in quarter 1 2023. That's a 9.1 percentage point improvement. Operating expenses were $40.9 million in quarter 1 2024 compared to $36.2 million in quarter 1 2023, an increase of 13% from the prior year period. After adjusting for non-cash SBC expense in SG&A, our adjusted operating expenses in quarter 1 2024 were $30.1 million compared to $19.8 million in quarter 1 2023, an increase of $10.3 million. This is mainly due to increasing headcount costs. GAAP net loss was $24.8 million in quarter 1, 2024 compared to net loss of $29.6 million in quarter 1 2023. After adjusting for non-cash SBC expense and changes in fair value of our warrant liability, adjusted net loss was $13 million in quarter 1, 2024 compared to an adjusted net loss of $11.7 million in quarter 1 2023. The impact of these adjustments is shown in Slide 9, and reconciliations of these non-GAAP metrics to the most comparable GAAP metrics are included in the tables at the end of our earnings press release. Slide 10 shows the geographic breakdown of our revenue for quarter 1 2024 compared to the prior year period. As you can see, we booked outstanding sales increases. APAC sales were up 640% year-over-year and accounted for 29% of our revenue, up from just 7% a year ago. Our EMEA business was up by 184% year-over-year and accounted for 36% of our revenue, up from just 22% a year ago as key customers begin their vehicle ramp up. And with that, I'll turn it back over to Mr. Wu to briefly go over our outlook for the second quarter. Thank you. 
Yang Wu: Thank you. Please turn to Slide 12, which provided a summary outlook for the upcoming months. For the second quarter, we expect the revenue to be in the range of $90 million to $98 million, up 25% from Q2 a year ago at the midpoint. This anticipated growth is primarily generated through increased deliveries to our APAC and EMEA commercial vehicle customers. We continue to strive for operational efficiencies, and we are maintaining our target gross margins to be in the range of 20% to 25%. For APAC, we will be delivering 48 amp hour and 53.5 amp hour sales from our Huzhou facility. We plan to do this while also targeting growth in Southeast Asia and a continuing R&D progress on the new upcoming products. In EMEA, we anticipated Q2 2024 revenue to grow more than double year-over-year, expected to deliver new prototypes to customers and plan to expand into additional commercial vehicle projects. For the Americas, we continue to focus on securing our Clarksville financing, while remaining committed to fulfilling planned customers and revenue growth. We are also continuing exploring additional customer sales opportunities, including within the Canadian CV market. Thank you all for joining us today. We look forward to updating you on our progress again next quarter. 
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for joining, and you may now disconnect your lines.